Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the High Liner Foods Incorporated Conference Call for Results of the Third Quarter of 2024. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions] This conference call is being recorded today, Friday, November 8, 2024, at 2 P.M. Eastern time for replay purposes. I would now like to turn the conference over to Kimberly Stephens, Vice President of Finance for High Liner Foods. Please go ahead.
Kimberly Stephens: Good afternoon, everyone. Thank you for joining the High Liner Foods conference call today to discuss our financial results for the third quarter of 2024. On the call from High Liner Foods are Paul Jewer, Chief Executive Officer; Darryl Bergman, Chief Financial Officer, and Anthony Rasetta, Chief Commercial Officer. I'd like to remind listeners that we use certain non-IFRS measures and ratios when discussing our financial results as we believe those are useful in assessing the company's financial performance. These measures are fully described and reconciled to IFRS measures in our MD&A. Listeners are also reminded that certain statements made on today's call may be forward-looking statements under applicable securities law. Management may use forward-looking statements in discussing the company's strategy, business, and market in which the company operates, as well as operating and financial performance in the future. These statements are subject to risks and uncertainties and based on assumptions that are believed to be reasonable at the time that they were made and with currently available information. Actual results or events, including operating or financial results could differ materially from those anticipated in these forward-looking statements. High Liner Foods includes a thorough discussion of the risks and other factors that could cause its anticipated outcomes to differ from actual outcomes in its publicly available disclosure documents, including its most recent annual MD&A and Annual Information Form. Please note that High Liner Foods is under no obligation to update any forward-looking statements discussed today. Before the market opened today, November 8th, High Liner Foods reported its financial results for the third quarter ended September 28th, 2024. That news release, along with the company's MD&A and unaudited condensed interim consolidated financial statements for the third quarter of 2024 have been filed on SEDAR+ and can also be found on the investor section of the High Liner Foods website. If you'd like to receive our news releases in the future, please visit the company's website to register. And lastly, please note that the company report financial results in US dollars, and therefore the results to be discussed today are also stated in US dollars unless otherwise noted. High Liner foods common shares trade on the Toronto Stock Exchange and are quoted in Canadian dollars. I will now turn the call over to Paul for his opening remarks.
Paul Jewer: Thank you, Kimberly. Hello everyone, and welcome to our Q3 2024 conference call. I'm joined today by our Chief Financial Officer, Darryl Bergman, and our Chief Commercial Officer, Anthony Rasetta. Before I hand over to Darrell to discuss the details of our financial results, I will begin today's call with some high-level commentary on the quarter and the progress we are making to drive improved performance across the business. Nine months ago, when we first started to feel the pressure of market headwinds and consumer pullback on our business, I shared that we would adopt an aggressive, yet balanced response. Our goal then, as it is now, is to support a sustainable recovery for our business that did not drive volume at the expense of profitability or vice versa. We focused on ensuring that our commercial activities supported improved near-term performance and the longer term upside for branded and value added seafood category in North America. Our third quarter results show promising signs that this approach is working. Our commercial strategies are gaining traction, driving sequential improvement in sales and volume compared to Q2, while holding onto margin. We increased adjusted EBITDA by 7.5% or $1.5 million for the quarter and grew gross profit as a percentage of sales by 200 basis points. Consistent with the second quarter, our EBITDA growth in Q3 was supported by lower raw material costs and normalized inventory levels. We continue to drive efficiencies across our business and as previously announced, we were pleased to complete a refinancing of our term loan B ahead of schedule, which resulted in interest savings. Nonetheless, and as expected, sales and volume continued to decline in the third quarter compared to the prior year, largely driven by some customer and consumer pullback, the continued impact of a decline in contract manufacturing, and exiting of low-margin business. Despite the continued headwinds, we are encouraged by signs of progress in both our retail and food service businesses. We are expanding distribution and leveraging innovation to showcase the volatility and convenience of our products to customers and consumers. We also continue to capitalize on the diversification of our business, leaning into areas of greatest market stability as consumer shift between channels with a focus on value and premium offerings. Anthony will share more details about this shortly. Overall, the strong execution by the team during the third quarter reinforces my confidence in our continued resilience and improving [Technical Difficulty] performance. In the fourth quarter, we will continue to keep a careful eye on costs, mix, and efficiencies to support profitable volume recovery and year-over-year adjusted EBITDA growth despite continued headwinds and anticipated fluctuations in pricing and demand. As we drive towards improved performance, we continue to invest in our business to return to profitable growth. We are in a fortunate position to be able to do so while also increasing the dividend. The 13.3% dividend increase this quarter is the fifth consecutive year in which the board has increased the dividend between 2019 and 2024, a period that encompassed significant market turmoil from the pandemic to supply chain crises. Our ability to continue to support the demand against the backdrop of market turmoil validates our strategy, as do the results generated in the third quarter. That said, we continue to believe that our share price does not reflect the underlying value of our company, which is why today we announced an application to once again increase our share buyback program. The growing dividend and continued share buyback program are important elements of our approach to capital allocation, which also includes ongoing investment in our business as we continue to pursue potential M&A opportunities. In the near term, we are focused on continuing the momentum of the third quarter to strengthen revenue, while preserving profitability in these dynamic market conditions. I will now hand over to Darryl to discuss our financial results. Darryl?
Darryl Bergman: Thanks, Paul. And hello, everyone. Further to Paul's opening remarks, I would like to add that once again, our results this quarter are a good indicator of the company's resilience and our ability to drive year-over-year adjusted EBITDA growth. That said, I will now turn to our financial results for third quarter of 2024. Sales volume decreased in the third quarter by GBP4.2 million or 6.9% to GBP56.8 million. The company continued to operate in a challenging market conditions driven by consumer pullback and competitive pressures. In the company's retail business, while High Liner Foods experienced year-over-year decline in volumes, the company once again expanded distribution in strategic areas including club and premium offerings. The company's food service business, High Liner Foods, saw continued success of new value added innovations in terms of volume and expanded distribution, and saw continued growth in alternative species despite the overall year-over-year decline in volume. The sales decreased in the third quarter by $30.8 million or 11.9% to $228.9 million, driven by volume declines amid challenging market conditions and reduced pricing reflecting deflationary markets. Given the highly promotional and price sensitive retail and food service markets, the company continues to take actions on promotions, innovations, and distribution to strengthen its competitive position and mitigate the impact of external pressures, while preserving profitability, which Anthony will provide more insight on here shortly. The weaker Canadian dollar in the third quarter of 2024 compared to the same period in 2023 decreased the value of reported U.S. dollar sales from our Canadian denominated operations by approximately $1 million relative to the conversion impact last year. Gross profit decreased in the third quarter by $1.3 million or 2.6% to $48.3 million. And gross profit as a percentage of sales increased by 2% to 21.1% as compared to 19.1% in the third quarter of 2023. The decrease in gross profit is due to lower raw material cost, normalized inventory levels, a more profitable mix, and a balanced approach to pricing focused on supporting both the bottom and top line of the business. High Liner Foods continues to drive continuous improvement across operations to ensure prudent cost management. In addition, the weaker Canadian dollar decreased the value of reported U.S. dollar gross profit from our Canadian operations in 2024 by $200,000 relative to the conversion impact last year. Adjusted EBITDA increased in the quarter by $1.5 million or 7.5% to $21.5 million, and adjusted EBITDA as a percentage of sales increased favorably to 9.4% compared to 7.7%. The increase in adjusted EBITDA is due to favorable distribution expenses and lower net SG&A expenses, partially offset by lower gross profit. In addition, the weaker Canadian dollar decreased the value reported adjusted EBITDA in USD from our Canadian operations in 2024 by $100,000 relative to amount -- relative to the conversion impact last year. Reported net income decreased in the third quarter by $12.8 million to $18.3 million and diluted earnings per share increased by $0.45 to $0.61. The increase in net income is due to an increase in adjusted EBITDA, an increase in business acquisition, integration, and other expenses, and a decrease in finance costs and lower depreciation and amortization costs, partially offset by an increase in income tax expense. Excluding the impact of non-routine or non-cash expenses that are explained in our MD&A, adjusted net income in the third quarter of 2024 increased by $700,000 or 14.3% to $5.6 million and correspondingly adjusted diluted earnings per share increased by $0.6 to $0.20 cents in the third quarter of 2024. Turning now to cash flows from operations and the balance sheet. Net cash flows from operating activities in the third quarter of 2024 decreased by $40.6 million to an inflow of $13.4 million compared to an inflow of $54 million in the same period in 2023, despite higher net income and lower interest paid. This is due to lower changes in non-cash working capital balances compared to the previous year, lower finance costs due to a gain on the modification of the long-term debt, and lower depreciation and amortization. The decrease is partially offset by increased cash flows provided by operations. Capital expenditures were $17.2 million in the first three quarters of 2024, compared to $13.1 million in the prior year, reflecting the continued investment in our business. Net debt of the third quarter of 2024 decreased by $10.3 million to $239.6 million, compared to $249.9 million at the end of fiscal 2023. Reflecting lower bank loans, long-term debt, lease liabilities, and a higher cash balance as at September 28, 2024, as compared to December 31, 2023. Net debt to adjusted EBITDA was 2.4 times at September 28, 2024, compared to 2.6 times at the end of fiscal 2023. The ratio has continued to improve in 2024 due to lower net debt and a higher rolling 12-month adjusted EBITDA compared to fiscal 2023. In the absence of any major acquisitions or unplanned capital expenditures in 2024, we expect this ratio to continue to be lower than the company's long-term target of 3 times at the end of fiscal 2024. Notably, as well, the early refinancing of High Liner's term loan B, which was completed in the quarter. This provides a stable platform for organic and accelerated growth strategies. In fact, the refinancing was not only at improved rates, but also oversubscribed, demonstrating the confidence of our lender community -- that our lender community has in High Liner Foods. Also during the third quarter, our net debt continued at the lowest levels the company has seen in more than 10 years. Before I wrap up, I'll provide details on our intention to increase the size of our normal course issuer bid. Our application, which is subject to the approval of the TSX, would increase the number of shares that the company intends to purchase from 700,000 to 1,643,340, an increase of [903,340] (ph) shares. Our move to increase the NCIB, as Paul noted, reflects the board and management's belief that the share price currently does not reflect the true value of the company. In closing, our strong balance sheet, supportive financial partners, focused team, and demonstrated ability to produce consistent EBITDA performance amidst a dynamic economic backdrop positions us well to support our strategy and capitalize on future growth opportunities. I will now turn the call over to Anthony to discuss our operational highlights.
Anthony Rasetta: Thanks, Darryl. And hello, everyone. The third quarter largely played out as expected in terms of market conditions, challenges, and emerging opportunities. We continue to operate in a highly competitive and promotional market on both sides of the border. Consumers remain price sensitive, and seafood continues to be a more expensive option for protein, and certainly in comparison to other grocery staples. In food service, traffic continued to decline across the industry, and consumers traded down within food service and dined out less frequently. This is driven in part by the higher cost of dining outside of the home, with the average check size for a meal away from home rising 4% in the quarter. While our diversified business enabled us to benefit from the related improvement in the retail frozen seafood category, we did experience pressure on our food service business during Q3. In particular, this quarter we lapped a successful limited time offer in QSR that ran in Q3, 2023. However, we continue to experience relative stability in non-commercial and we saw strong performance within the school system where we won additional business this year. We also expanded distribution, which will help us offset continued near-term pressure. Turning now to our retail business, in which distribution gains were also a bright spot. Our distribution gains continue to be tied to innovation and value and demonstrate how the core attributes of our strategy are working together and supporting improved performance compared to Q2 and laying the groundwork for recovery. In US retail we have continued to make inroads with major club retailers driven by product innovation and value associated with club side purchases. Pairing value with volume allows us to appeal to the value-conscious consumer while preserving margin and will remain a key tenet of our strategy moving forward. We are supporting this strategy with targeted marketing activation in partnership with our retailers. We are encouraged by the results so far, both in terms of the number of marketing impressions and how this is translating into expanded distribution, especially in the club channel. While it is early days, retailers have responded positively to developing mutually beneficial campaigns. I'm confident in the opportunities here to support sales and volume recovery and growth over time. We have some exciting campaigns time to roll out in partnership with retail -- with retailers to coincide with the lent-in period. From a portfolio perspective the bright spots I shared in Q2 continued in the third quarter. In our US retail business, where the category continues to improve overall, our seaworthy premium Atlantic salmon brand continues to be a top performer and is in fact the fastest growing brand in the category. During the third quarter, we secured new listings and expanded distribution for our value Catch of the Day and Fisher Boy brands along with our premium Sea Cuisine and Seaworthy brands. The strong response to these products coupled with the increasing demand by consumers for value and convenience offered by frozen restaurant quality seafood bodes well for our future performance in retail. We will continue to focus on our barbell strategy of leaning into value and premium ends of our portfolio moving forward. In Canadian retail, the category is also improving, albeit not at the same pace as in the US and remains highly competitive. While competitive pressures continue to negatively impact our share during the third quarter, we are capitalizing on the strength of our customer relationships and the opportunities associated with our innovation, brand heritage, and customer marketing partnerships to push back against competitive pressure. We also continue to deepen our footprint in the Canadian club category during the third quarter with performance in that channel leading to overall growth in shipments in Q3. Innovation continues to support performance and listings across mainstream retailers with our two new value-added shrimp innovations off to a promising start as the number one and number three branded innovations in the category this year. Turning now to alternative species where the trends we saw in the second quarter continued into the third. Southern Blue Whiting growth continued in both the US and Canada in retail and food service and we converted another skew over this species during the quarter. Southern Blue Whiting is a promising value-based species that attracts consumers given its cost and taste, and we expect this growth to continue, particularly in our food service business going forward. Overall, I'm encouraged by the progress we made in the third quarter to support the top line, while protecting margins. Looking ahead, we intend to build the momentum underway supported by strong customer engagement and innovation success. I look forward to updating you on our progress in Q4, and with that, I'll hand it back to Paul for his concluding remarks.
Paul Jewer: Thank you, Anthony. As you have heard today, we are executing well against our targeted strategy to offset headwinds and return to profitable growth. Despite continued market challenges, we are encouraged by our financial and operational performance in the quarter and especially our ability to make press on the top line while continuing to strengthen profitability. We are well positioned to build on our progress in the fourth quarter as we partner with our customers to support category growth and deliver value, convenience, and innovation to consumers seeking seafood as healthy and affordable source of protein. Our strong balance sheet remains a source of competitive advantage and priority for us. It strengthens our resilience through challenging times and affords us the ability to be measured and strategic in our response. Similarly, it allows us to be patient and disciplined as we explore opportunities for M&A, waiting for the right opportunity to accelerate our growth across the value chain while continuing to return capital to our shareholders and invest in our business. We are focused on building our third -- building on our third quarter progress delivering year-over-year increase in adjusted EBITDA and pushing towards a return to top line growth, while surfacing value for shareholders. With that, I will hand the call over to the operator to open it up for our question-and-answer period. Operator?
Operator: Thank you. And ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Kyle McPhee with Cormark Securities. Please go ahead.
Kyle McPhee: Hi, everyone. To start, I want to unpack some of the moving parts feeding your volume performance, which was better than I thought this quarter. It seems like some of these High Liner specific growth initiatives you're outlining are masking more and more of the macro headwind. So first on that topic, can you help us quantify the new wins that you're landing? If we isolate the volume wins in retail and food service that you're calling out, what does that look like in terms of year-over-year growth? And is it snowballing versus the wins you talked about in recent quarters or you just kind of benefiting largely from the same ones?
Paul Jewer: I think there is some benefit from wins we had earlier in the year in food service and retail and we're also continuing to win some new business, including some new distribution and also from the effect of I think some good promotional activity that's helped support volume. And you're right, Kyle. The trend has improved. We're still not back to top line growth. Although certainly have moved in that direction compared to where we were earlier in the year.
Kyle McPhee: Can you help us kind of quantify when we isolate this moving part, the wins? Is it kind of low single digit, like 1%, 2% type of wins isolating this stuff?
Paul Jewer: Yes, I think that's probably right. We did have -- we did pick up some volume related to USDA school business, which is larger volume. So that would be on top of that. But that helped offset some of the contract manufacturing declines that we talked about earlier in the year.
Kyle McPhee: Okay. And then on the macro moving part impacting your top line, would you describe it as the intensity of the macro headwind staying the same? Is it getting worse? I'm trying to figure out when macro kind of stops showing as a headwind in your moving parts, because if it's not getting worse, I think you will have largely lapped it after your next quarter.
Anthony Rasetta: Yes, Kyle, it's Anthony. I think there's a couple of different things happening. Food service is, has been down the last few quarters and continues to be down. So that is definitely headwind for us as the larger part of our business and portfolio as traffic was down a couple of percentage points. We're seeing the declines in QSR on the value side of food service for the first [indiscernible] quarter and the eater check is up overall. So that's headwind for us. Offsetting that though is within food service, as you can imagine, as customers are looking for value, they're shifting into distributor label or private label. We do a good chunk of that business [indiscernible] label and so have been able to have some relatively stable performance associated with that in addition to our business in non-commercial like Paul talked about with what we picked up in schools and in school feeding in particular. And then the other side of it is that, retail is improving. So as consumers are eating out less and at home more, which is getting worse in food service, better in retail, then we're seeing the pickup in retail and some traction and with both our innovation as well as with the distribution and promotional tactics that we have going on.
Kyle McPhee: Thanks for all that color on the moving parts. Last thing I wanted to talk about with you is on gross margin percentage. So increased promotional activity is one of the moving parts impacting this line item, offsetting some of the lower inventory cost dynamics that you're getting those benefits. So I know Q3 marked a point for increased promotional activity and that likely continues but I guess my question is, is the intensity of promotion accelerating going forward? What should we expect there? Or are you just kind of holding on to the existing intensity of promotion?
Paul Jewer: No, we will continue with the promotional activity, perhaps at a slightly higher pace in Q4, because we're seeing the positive effects of that promotional activity, and that's driving overall higher gross margin dollars. The other piece though, Kyle, the factor in for sure is just the impact of mix, right? So as we see an increase in some of the private label of bid business, that may come at lower margins but certainly is supportive to the overall gross margin dollar growth.
Kyle McPhee: Okay. That's it for me for now. Thank you.
Operator: Thank you. And your next question comes from the line of Nevan Yochim with BMO Capital Markets. Please go ahead.
Nevan Yochim: Thank you, and good afternoon, guys. First, I just wanted to clarify quickly. Paul, I think you mentioned year-over-year EBITDA growth. Was that in reference to 2024 or was that also including the fourth quarter of this year?
Paul Jewer: Yes, certainly year-to-date. We've had EBITDA growth over the prior year. And as we've really been saying through the year, we expect to be able to deliver EBITDA growth for the full year. And obviously with the performance we put up in the first three quarters, we are even more confident of that performance on an annual basis.
Nevan Yochim: Okay, perfect. And then just on sales in the quarter, so beyond the volume decline, can you parse out the impact from price deflation as well as mix this quarter?
Paul Jewer: From a deflation perspective, there's probably not a lot that's factored in. I think it's more of an impact of the volume decline and mix. Because we are starting to see some species, the prices actually come back up off lows earlier in the year. So I would say it's more of a mix impact than a deflationary price impact. Other than, obviously, promotional activity can have some impact on the net sales outcome.
Nevan Yochim: Okay, that makes sense. And then, I guess, just sort of, as you think about Q4 on a year over year basis, when we're looking at volumes here, a nice sequential improvement there in Q3, would you expect to see a further improvement into Q4 as well? Still down year-over-year, but sequentially improved?
Paul Jewer: Well, we certainly expect to see a sequential improvement. And as we've been saying, we're really working to get back to top line growth. We've had a good start to the quarter, but we'll continue to work on having a strong finish to the year.
Nevan Yochim: And then, I think you already touched on gross margins. So just on SG&A, it was quite steady on a year-over-year basis. I was looking for a bit of an increase there. Maybe you can talk about just how SG&A dollars, excluding the DNA component are expected to trend into Q4.
Paul Jewer: Yes, nothing that I would highlight that should swing the amounts to any degree. The only thing I would say -- I would caution, we always look at what I'll call adjusted SG&A. So we exclude any impact of long-term incentive programs, those kinds of things. So when you exclude that, I wouldn't expect any significant change quarter-over-quarter. The one area that there can be some seasonality in is our marketing spend. But again, nothing significant between Q3 and Q4 that I'd highlight.
Nevan Yochim: And so, like, I guess if it's really relatively steady sequentially, you'd be looking for a larger year-over-year increase into Q4. Is that right?
Paul Jewer: SG&A as a percentage of sales, I guess, I'm not sure I understand the question.
Nevan Yochim: Yes, more on SG&A dollars. Like if your comment was in relation to SG&A dollars being relatively flat sequentially or were you referring to SG&A as a percentage of sales?
Paul Jewer: I was thinking of SG&A as a percentage of sales, yes.
Nevan Yochim: I see. Okay, perfect. That makes sense. That's it for me. Thank you.
Operator: Thank you. And there are no further questions at this time. I would like to turn it back to Paul Jewer, President and CEO for closing remarks.
Paul Jewer: Thank you, operator. To close, I want to thank you for joining a call today. We look forward to updating you with our results for the fourth quarter of 2024 on our next conference call in February.
Operator: Thank you, presenters. And this concludes today's conference call. Thank you all for participating. You may now disconnect.